Operator: Good day, and welcome to the Coeur Mining Third Quarter 2025 Financial Results Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mitchell Krebs, President and CEO. Please go ahead.
Mitchell J. Krebs: Good morning, everyone, and thanks for joining our call today to discuss our third quarter results. Before I kick off, please note our cautionary language regarding forward-looking statements and refer to our SEC filings that are on our website. The third quarter highlights on Slide 3 showcase our second consecutive quarter of record results driven by higher realized prices strong production levels and solid cost management. As a result, our cash balance is growing rapidly and is expected to exceed $500 million at year-end placing us solidly in a net cash position heading into 2026. Based on recent price levels, we now expect our full year EBITDA to exceed $1 billion and our full year free cash flow to top $550 million, both of which are higher than our prior estimates. Mick and Tom will provide some further operational and financial details in a few minutes, but a couple of other highlights I wanted to quickly mention. Our Las Chispas, silver and gold operation in Sonora, Mexico had another consistent quarter of production during its second full quarter, since the SilverCrest transaction closed back in February. Its free cash flow increased by 34% to $66 million in the third quarter. In addition to their solid operational and financial results, we issued an exploration update last month that highlighted several high-grade intercepts at Las Chispas. We couldn't be more pleased with the SilverCrest transaction and the addition of the Las Chispas operation managed team. It's a great example of well-timed M&A that has allowed us to significantly up-tier our asset portfolio by adding low-cost silver production and immediately bolster our balance sheet, which has put the company in a terrific position as we look ahead to what should be an even stronger fourth quarter and a record-breaking year in 2026. On the share repurchase program, we managed to get nearly 10% of our initial $75 million program completed so far, and we'll continue to evaluate our repurchase activities and overall capital allocation priorities with our board over the coming months. At Rochester, the team continued to make solid progress toward achieving steady state. We mentioned during our last call that we took extended downtime early in the third quarter to make some modifications to the crusher corridor, which have proven to be successful. Mick will talk more about the progress there in a few minutes. Finally, you'll see we fine-tuned our full year production guidance ranges and we also tweaked our cost guidance ranges. These narrower production guidance ranges resulted in a small increase to the midpoint of our full year gold production guidance and a slight decrease to the midpoint of our full year silver production guidance. The main drivers to these adjustments our Las Chispas, Palmarejo and Wharf being nicely ahead of plan, offset by some Rochester ounces being pushed into 2026 to reflect lower than planned crush tons so far this year. Before I turn it over to Mick, I just want to quickly thank the team. Our safety and environmental performance this year is among the best in our company's 98-year history, and the operational and financial results speak for themselves. It's great to see these themes all coming together at the same time, the impact of our recent investments in expansions and exploration, the SilverCrest acquisition and now these higher prices to generate these strong results for our shareholders from our balanced platform of North American assets. Mick, over to you.
Michael Routledge: Thanks, Mitch. The third quarter was another solid step forward for Coeur, marked by strong execution and operating discipline throughout the business. Consolidated gold and silver production continued its 2025 trend of positive sequential quarterly increases, delivering over 111,000 ounces of gold and 4.8 million ounces of silver. Adjusted cash per ounce for gold and silver also continued that positive trend compared to Q3 2024 at $1,215 per ounce and $14.95 per ounce, respectively. Looking in more detail at each of the operations, rock solid, consistent production and cost performance with a balanced portfolio was the key takeaway in the quarter. Beginning with Las Chispas, the operation continues to perform exceptionally well, with silver production increasing to 1.6 million ounces and gold production to 17,000 ounces, generating $66 million of free cash flow, as Mitch mentioned earlier. The mine's outperformance to date and expectations for a strong finish to the year led us to increase the range of 2025 silver and gold production guidance. I'm also pleased to report that the full integration of Las Chispas is now complete, kudos to the entire team for a job well and safely done. Turning to Palmarejo. The mine delivered $47 million of free cash flow during the quarter with strong recoveries and mill throughput that reached their highest levels in 6 quarters. The pace of exploration activity has also increased in the East District outside the Franco-Nevada gold stream area of interest. Including drilling, mapping and site work in the highly prospective [indiscernible] and Guazapares trends, which we believe will be key drivers in Palmarejo's next leg of growth. Palmarejo's strong performance year-to-date and expectations for a good finish to the year supported an uptick in their full year 2025 production guidance ranges and driven by continued strong cost management a reduction in their full year 2025 cost guidance ranges. Turning to Rochester. The priority in the third quarter remained on building consistency and momentum through the 3-stage crushing line, which continues to drive steady sequential growth in production at a lower overall cost profile. Gold and silver production increased 3% and 13%, respectively, compared to the second quarter driving a second successive quarter of free cash flow of $30 million. I'm pleased to report that the average particle size continues to trend downward for material passing through all 3 stages of crushing from a P80 of around 0.92 inches in the second quarter to slightly better than budget levels of 0.84 inches in the third quarter and the related recoveries continue to track our PSD models just as we expected. As mentioned last quarter, the team took an extended down period in July to successfully implement several modifications after startup to further enhance the tremendous processing power and efficiency of the cushing train. We also managed through some premature beltway challenges in the secondary reclaim feeder during the quarter with a few more minor modifications to address this in the fourth quarter. This downtime resulted in a slight decrease in tons crushed compared to the prior quarter. However, total tons placed on Stage 6 in the third quarter increased over 9% to 8.3 million tons by utilizing our available fleet and supplementing crushed tons with direct to pad material. Revised 2025 production and cost gains ranges at Rochester reflect the cumulative effects of this year-to-date downtime and the expected timing of ounces coming from Stage 6. Moving to Kensington. The positive impact of the recently completed multiyear underground development program continues to shine through in the form of a stronger, more consistent production profile. Gold production increased for the third consecutive quarter exceeding 27,000 ounces. Cost per ounce at Kensington has shown similar sequential improvement in 2025 reaching $1,659 in the quarter. These positive trends contributed to free cash flow of $31 million, Kensington's highest quarterly cash flow in over 6 years. In light of strong results to date, coupled with greater flexibility and productivity taking route throughout the mine, Kensington's 2025 production guidance has increased and its 2025 cash per ounce range has been narrowed downward. Finishing up at Wharf, the mine achieved its third consecutive quarter of increased production and lower cost applicable to sales. Quarterly gold production increased by 16% to 28,000 ounces, leading to free cash flow of an impressive $54 million. This great year-to-date performance led us to increase full year gold production guidance by 3,000 ounces. At the same time, moving cash guidance down by $125 per gold ounce. As Mitch mentioned, the power of Coeur's balanced North American portfolio is fully enjoying this moment of record-setting metals prices. With that, I'll pass the call over to Tom.
Thomas Whelan: Thanks, Mick. As highlighted on Slide 8, our strong Q3 financial results demonstrate the power of our 5 asset portfolio, which is delivering as expected. It was pretty exciting to see the surge in quarterly free cash flow and EBITDA margin during the quarter. Perhaps more exciting is the resulting dramatic improvement of the company's financial position in such a short period of time. Metal sales climbed 15% to $555 million during the quarter, driven primarily by a healthy increase in the number of ounces sold and further accentuated by the 15% higher silver price quarter-over-quarter. This strong top-line revenue growth, combined with overall solid cost control, led to several new quarterly financial records for net income, adjusted EBITDA, free cash flow and adjusted EBITDA margin. One neat metric to highlight is that Coeur's free cash flow party continued at a pace of roughly $2 million per day during Q3, and we expect this rate to increase with the expected higher Q4 realized prices. Turning to the balance sheet on Slide 11. Our cash balance grew to $266 million. We took advantage of our improving financial position to early repay $10 million of higher cost capital leases as we aim to drive down our interest expense even further. We have now repaid over $228 million in debt during 2025, driving our net debt below $100 million. We closed the quarter with a net debt ratio of 0.1x. We are prepared to declare victory on achieving our long-term goal of net debt to EBITDA of 0 during Q4 2025, which is nicely ahead of schedule. Included in our Q3 2025 earnings was a significant milestone around our $630 million of U.S. net operating losses. As the students of accounting on this call will appreciate, we recorded these U.S. net operating losses on the balance sheet during the third quarter. This accounting requirement resulted in a onetime $162 million noncash tax benefit for accounting purposes during the quarter, which is a reflection of the strong performance of the U.S. operations over the past 3 years on a cumulative basis. We have enhanced our guidance and disclosure relating to tax matters to provide additional color on the go-forward effective tax rate and on quarterly taxes paid. Speaking of guidance, we have fine-tuned our 2025 production and cost guidance as is the normal cadence after the end of the third quarter. As Mitch referenced, the overall production changes are truly minor tweaks and speak to our overall predictability over the past 3 years. Despite a stronger peso than we had budgeted and higher royalty obligations due to stronger gold and silver prices, we are particularly excited to lower our cost guidance at 3 of our 5 mines, which reflects the efforts of our business improvement culture and signs that our 2025 inflation estimates were conservative. With that, I'll now pass the call back to Mitch.
Mitchell J. Krebs: Thanks, Tom. Before moving to the Q&A, I want to quickly highlight Slide 13 that summarizes our top priorities for the remainder of the year. We've made tremendous progress this year by delivering on our strategy and pursuing opportunities to further improve the quality of the business. We expect this discipline and focus to result in a strong finish to the year and to position us exceptionally well for a record year in 2026. With that, let's go ahead and open it up for questions.
Operator: [Operator Instructions] Our first question comes from Mike Siperco with RBC Capital Markets.
Michael Siperco: Maybe starting possibly with -- maybe starting with Mick on Rochester or I assume it's Mick anyways. Net of the guidance change and what you're seeing in the second half at the crusher, can you talk a bit more about what's needed to get the operation up to full capacity or steady state, let's say, into 2026 from a throughput perspective?
Mitchell J. Krebs: Mick, do you want to go ahead and take that?
Michael Routledge: Yes. Mike, thanks for the question. Absolutely. We telegraphed a little bit that we're going to do those extended shutdowns during July, and we did that. And we've got 3 really strong projects done, 1 on the primary, which was really to help us get more efficiently in and out of the primary to maintain that asset around a real system underneath the primary. So that allows us to then run more consistently at the primary level. On the secondary, it was about some modifications that we did to split the 2 secondary systems up, so that we can run 1 of the systems, while maintaining the other one, which also impacts the productivity improvements. And then the third key project that we did during the quarter was an auto sampler downstream around the tertiary system that allowed us to both drive uptime to get more tons through the pipe and to get better visibility of the size fraction online during dynamic operations. So all 3 of those projects have really driven the opportunity for more uptime for size control and productivity at Rochester. That was done in the third quarter, and we've seen some good things that that's getting some traction and we're looking forward to better results going forward.
Mitchell J. Krebs: And just, Mike, to piggyback on what Mick just highlighted to get to the point of what's needed to get up to capacity out there and say that the unplanned downtime late in the third quarter regarding that conveyor belt under the secondary crushed ore stockpile that cropped up, which caused us to to lose a little bit of momentum there on the back of completing those projects that Mick just highlighted, that will get addressed here in November. And that should -- there's always going to be something I'm sure that pops up from time to time, but that's probably the 1 thing that we need to get behind us and then we'll hopefully have some clear runway on the backside of that. Is that fair to say, Mick?
Michael Routledge: It's absolutely fair to say. The trend is positive. We're seeing some better numbers as we go through this month and year-to-date now that we've got those projects behind us, and we'll just continue to tweak. I'm really actually quite happy where we're at. It's not unusual that we'll do some of these modifications at the startup. And in relative terms compared to the industry average, it's been quite a lean set of modifications to be there. So, so far, so good.
Mitchell J. Krebs: Does that help, Mike?
Michael Siperco: Yes. And I guess just to follow-up on that, that was going to be my next question. I mean when you look at the issues that you have been addressing, either sort of planned or unplanned, would you say this is more normal course adjustment during a ramp-up of an operation of this size or are you seeing more with respect to either the conveyors or the wear or the material you're running that maybe needs more of a step back and some readjustment? Or is it both?
Mitchell J. Krebs: I'd say it's much more of the former, Mike, things that when you run a large crusher train like this for a little while, if something pops up, you fix it and then you move on. Mick, fair to say?
Michael Routledge: Absolutely fair to say. It's not atypical conveyors, belts, adjustments to shoots a little bit on strike up bars around the secondary that we'll make adjustments on that will give a bit more longevity on the belts, and we should see the benefits of that going forward.
Michael Siperco: So then if I can ask and maybe without getting into guidance specifics, the original 2025 guidance that called for about 20,000 ounces of gold and 2 million ounces of silver in Q3 and Q4. Is that still a quarterly run rate that you feel confident can be reached next year?
Mitchell J. Krebs: Yes, I'd say the step up from 25% to 26% will be pretty material out there, getting closer to that on a full year basis, that annual kind of plus 30 million-ton crushing rate, which is really where we need to be to achieve that kind of annual 7 million to 8 million ounces of silver 70,000 ounces of gold on an annual basis. So we expect to see some momentum in the fourth quarter heading in that direction. And then sustain that more throughout 2026, and that's going to give us a nice incremental step up year-over-year out there.
Michael Siperco: Okay. Great. Maybe 1 more for me, and then I'll turn it over. Just [indiscernible] on growth, nice segue to M&A. Obviously, Las Chispas has worked out pretty nicely for you over the last 12 months or so. You seem to be anyway as well into cash harvest at this point. How are you thinking about other opportunities either producing or in development out there in the market? And maybe if you can address that in the context of how you're thinking about Silvertip in the longer term?
Mitchell J. Krebs: Yes. Yes, sure. Thanks for the question. Look, we came into this year very internally focused on some clear priorities around closing and integrating SilverCrest, ramping up Rochester to steady state, paying down debt quickly. And now here we are almost in November, and you can say that we've either completed or are well on our way to checking the box on all of those. And we're always looking, right, at that things that we could do to potentially make this a better business up tier the quality of the company and the operations that we have not that much of a focus on going back into the development stage game, after having just come out of a period of pretty heavy investment at Rochester, Kensington in exploration, being in this free cash flow positive phase is somewhere where we'd like to remain for a while. And so, any opportunities that we look at, though, have to fit a fairly rigid set of criteria around being gold and silver and improve the quality of the business, sticking in our jurisdictions where we are. So we're always looking at those things. There's not a lot of those, frankly, that fit all those criteria. So we're always actively monitoring and evaluating those kinds of opportunities. Just turning to Silvertip for a second, that's very much a part of how we think about growth in the future, not necessarily in the near term, but looking out a bit longer term, that's a significant leg up in growth, in particular, on the silver side, that could bring in a pretty chunky amount of annual silver production, assuming Silvertip becomes a mine. I think, I said last quarter, we kicked off an initial assessment here to take a look at that project. We'll need to complete that next year, consider whether we move on to the PFS phase. And then if that clears -- if the project clears that hurdle and onto the feasibility study stage, obviously, permitting and then a lot of drilling. So all of those things take time. We don't want to do anything to cut any corners or any shortcuts. We want to make sure we get it right. Of course, Canada is providing a lot of support for critical minerals projects like Silvertip. So we're getting our arms around that and seeing how that might affect the overall time line. But -- so it's out there a few years, but it's something that we're continuing to advance. And I think it's probably going to look pretty attractive, especially at the -- in the current metals price environment.
Operator: Our next question comes from Joseph Reagor with ROTH Capital Partners.
Joseph Reagor: Mitch and team. So just first thing, I know you guys gave a little bit of guidance on how the tax rate is going to look this year. But what should we be thinking about as far as next year and beyond now that this is -- you have this deferred tax asset?
Mitchell J. Krebs: Tom?
Thomas Whelan: Sure. Thanks. We're taking bets on whether we get a tax question. So thank you. So again, it was critical to highlight the setting up of the tax asset. And so for years, we've really had basically a 0 effective tax rate on our U.S. earnings. And so that will change starting next year. The federal rate is 21%. The states are -- you might want to add in like 3% on average. And so that should be the go-forward kind of rate. We'll tweak that, of course. We have to wait and see how fast we choose through all of the net operating losses and trying to predict how fast that's going to happen with these increasing commodity prices has been -- it's a high-class problem to have. But we should even be in a situation, where we -- there's a potential to actually pay U.S. income tax, which in 2026, federal income tax, which was a pipe dream many, many years ago. So I don't know, if that gave you enough color, Joe, but that's how you should be thinking about it.
Joseph Reagor: That's helpful. And then was a good quarter overall, but I did note Palmarejo and Las Chispas saw a little bit of a drop in grade -- was there anything to that? Or is it just sequencing? Is it Las Chispas -- was it related to the stockpiles that are processed, like any color you guys can give there for what drove that?
Mitchell J. Krebs: Yes, I think you actually just almost answered the question with your answer there with your suggestions at least. Mick, do you want to give a little more color?
Michael Routledge: Yes. I mean in underground [indiscernible] mines, of course, we're already always characterizing a little bit more ore as we go through the production phase. And when we do that, we then look to see whether that was economic. And then you can either stockpile that ore or you can run it through the pipe. With Palmarejo, of course, we've got upside in our mill and capacity there. So we chose to run some of that. We'll run about, I think, 6% more tons through the pipe in the quarter, and that helped to make those adjustments to the gains. But let's just ask for sure, we ran a lot of that historic stockpile down, and that's a great thing. So that we've now got a very clear view of the stockpile that we have sitting there at Las Chispas.
Operator: Our next question comes from Kevin O'Halloran with BMO Capital Markets. .
Kevin O'Halloran: So great to see the cost guidance coming down at most of the operations, and it looks like that's mostly on the back of higher guided production. But can you guys comment on what you're seeing from a unit cost perspective? And any main cost pressures that you might be seeing across the portfolio?
Mitchell J. Krebs: Thanks for the question. I think we have that inflation slide in the deck that we typically include that shows from our perspective, we're still squarely in that sweet spot of strong rising prices and flat input costs into the business. I think, it's Slide 9, in the deck. Combined, those are close to, I think, around 60% of our total OpEx. And you can see that whether you look over the last 12 months or the last 24 months, it's a pretty attractive cost environment that we're seeing. So not a lot of pressure. There's no tariff pressure at all, at least yet. But I don't know, Mick, Tom, is there anything on the unit cost side that...
Michael Routledge: Yes. I mean, look, we saw inflation 3 years ago or 2 years ago, when we put really robust cost controls in place at all of the sites and they're holding true. We're still focused on costs even in this nice price environment and being disciplined in that space helps to drive the margin. So yes, we're enjoying that.
Thomas Whelan: Kevin, 1 thing to pile on is just from a royalty perspective, I mean, that's something that can impact costs. And so despite paying some higher royalties, even out at Rochester we've had a royalty that we'll start paying based on these prices. And so that drove a lot of the Rochester increase. But I think it's fantastic that we're able to lower the cost at the other 3 mines despite the higher royalty pressure. And don't forget the peso as well, right? The peso has been very strong. And Mick and Sandra and the team down in Mexico have done a great job on costs. So really happy.
Kevin O'Halloran: Great. Yes. That's helpful. Just moving on, kind of already touched on this at Palmarejo, but with higher metals prices, I think pretty much everyone in the industry is facing the decision of whether to send lower grade ore to the mill. Maybe it was previously considered waste and now with metals prices, it can go to the mill. You mentioned you're seeing a bit of that at Palmarejo. Are you seeing or facing any of those sorts of decisions at any of the other operations? And do you expect that impact going forward? Or do you expect to be sticking largely to the mine plans?
Mitchell J. Krebs: Yes, Mick, do you want to...
Michael Routledge: Yes. I mean, look, on an annual basis, we'll try our best to stick to the mine plans. We're always finding that marginal ore, and then we'll make a decision about that to stockpile that we run it. And the great thing is though we don't just look at that grid, we look at the recovery. So if you look at Palmarejo, for instance, similar lower grade material actually recovered better. And so the balance of play on that was good, and that's why you see that positive that positive outcome at Palmarejo. So just the grid by itself has to be coupled with the tons and the recovery performance.
Operator: [Operator Instructions] There are no further questions at this time.
Mitchell J. Krebs: Okay. Well, we appreciate everybody's time today. Thanks for joining our call. We wish you all a happy Halloween. Safe, healthy holiday season ahead. And we'll talk to you when we report fourth quarter and year-end results early next year. Thanks. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.